Operator: Good morning, and welcome to Dana Incorporated Fourth Quarter and Full Year 2025 Financial Webcast and Conference Call. My name is Regina, and I will be your conference facilitator. Please be advised that our meeting today, for those participants who would like to access the call from the webcast, please reference the URL on our website and sign in as a guest. There will be a question-and-answer period after the speakers’ remarks, and we will take questions from the telephone only. To ensure that everyone has an opportunity to participate in today’s Q&A, we ask that callers limit themselves to one question at a time. If you would like to ask an additional question, please return to the queue. At this time, I would like to begin the presentation by turning the call over to Dana Incorporated’s Senior Director of Investor Relations and Corporate Communications, Craig Barber. Please go ahead, Mr. Barber.
Craig Barber: Thank you, Regina. Good morning, and welcome, everyone. Today’s presentation includes forward-looking statements about our expectations for Dana Incorporated’s future performance. Actual results could differ from what we discuss today. For more details about the factors that may affect future results, please refer to our safe harbor statement found in our public filings and other reports with the SEC. I encourage you to visit our investor website where you will find this morning’s press release and presentation. As stated, today’s call is being recorded and the supporting materials are the property of Dana Incorporated. They may not be recorded, copied, or rebroadcast without our written consent. With us this morning is Bruce McDonald, Dana’s Chairman and Chief Executive Officer; Byron Foster, Senior Vice President, President of Light Vehicle Systems Group; and Timothy Kraus, Senior Vice President and Chief Financial Officer. I will now turn the call over to Bruce McDonald.
Bruce McDonald: Thanks, Craig. Good morning, everyone, and thanks for joining us on our Q4 earnings call. With us today, in addition to the usual cast of characters, we have Byron Foster, our incoming CEO, with us. I have known Byron and worked with him for many years. He and the rest of the management team here at Dana Incorporated have been instrumental in our cost reduction activities and our transformation plans as well as the development of our Dana 2030 strategy. I think the Board and I have the utmost confidence in the team under Byron’s leadership, and I am very confident in the team’s ability to deliver on the financial objectives that we are going to share with you today. Turning to the business overview. Excuse me. Our final results for the fourth quarter came in higher than our preliminary estimates. You can see here for the fourth quarter, our margin is at 11.1%, which is 40 basis points higher, $10 million higher than the preannouncement numbers. In terms of full-year cash flow, we came in at $331 million, which is $16 million higher. I would point out that that cash flow is the highest the company has delivered since 2013. We completed the sale of the Off-Highway business on January 1 and used most of the proceeds to repay down debt, and Tim will take you through what our new debt profile looks like later on in the pack. In terms of cost reduction, great job by the team. We had originally committed to a $200 million run rate. We upped that to $300 million, and we delivered $248 million in the year and a run rate of $325 million going into 2026. We have talked before about our stranded costs post the sale of Off-Highway being about $40 million. We are very confident in our guidance. We are assuming that we are going to be able to substantially eliminate those next year. In terms of new business, we shared our backlog a couple of weeks ago at $750 million. Despite the turmoil in the EV side of our business, the team secured a higher backlog than we had last year, of which $200 million is going to flow through in 2026. If you look at our capital return, we returned just over $700 million to our shareholders last year, and we have grown our dividend. Where Dana Incorporated sits exiting 2025, we are extremely well positioned, have strong momentum, and we have a strong plan going forward. Just a little bit more on the capital return plan, which we upped to $2 billion of share repurchase through 2030, and that reflects our confidence in the delivery of the longer-term financial targets that we are going to share on the call later today. For 2025, we bought back just a shade over 34 million shares at an average cost of $18.96 and paid $54 million in dividends. In the first quarter, we have already bought back $100 million worth of shares at a little bit over $27 a share. In the balance of the year, we forecast buying back another couple hundred million, which, at current prices, is $56 million, something like that. Lastly, on the dividend, we upped our dividend by 20%, to $0.12 a quarter. The way we are thinking about this is we are going to grow our dividend as our share count declines. We have a lot of confidence in the value that we are creating. If you look at the company right now, while we are able to accelerate growth investments and margin enhancement investments in our business, we are also deleveraging, growing our dividend, and comfortably buying back a significant amount of stock every year. Byron, I will turn it over to you.
Byron Foster: Okay. Thanks, Bruce, and good morning, everybody. On page six, a little bit on the market outlook as we look at the 2026 plan. On the light truck side, we continue to see the light truck market holding steady, and our plan is built around flat volume year over year from 2025 levels. We are seeing a consistent operating environment and volume from our customers, which is allowing us to run at a good steady clip. On the commercial vehicle side, we have built the plan around flat volumes to 2025 levels. However, there is some optimism that towards the back half of the year, perhaps we will see improved volumes on the commercial vehicle side. As Bruce mentioned, on the right-hand side of this page, our three-year net backlog is $750 million, of which $200 million is built into our 2026 plan, and you can see how that matures through 2028. If we go to page seven, it might be interesting to give you a view of how our new business pursuit activities have evolved over the last seven or eight years. You can see a dramatic increase in business pursuit activity in the early 2020s, dominated by increasing EV activity. More recently, that trend has pivoted and reversed itself from roughly 80% EV-level activity to a heavy mix toward our more traditional ICE powertrain types of vehicles. We expect that trend to continue as our customers revisit their product plans to adjust to consumer demand for more traditional ICE-type vehicles as well as hybrids, and some full BEVs will still exist, but at a lower rate than we saw a few years back. We are encouraged by that, and as we talked about growth going forward, we expect that to play into our ability to capitalize on that opportunity. With that, I will hand it over to Tim, and he will take us through the numbers.
Timothy R. Kraus: Thanks, Byron, and good morning to everyone. Please turn with me now to slide nine for a review of our fourth quarter and full-year results for 2025. All results discussed this morning reflect continuing operations, except for adjusted free cash flow. Starting on the left side with the fourth quarter, sales were $1,867 million, an increase of $93 million compared with last year. Improvement was driven primarily by customer recoveries and currency translation. Adjusted EBITDA for the quarter was $208 million, resulting in an 11.1% margin. That is a 640 basis points improvement over the prior year’s fourth quarter, reflecting better mix and continued benefit of the company-wide cost improvement actions. EBIT from continuing operations was $61 million compared with a loss of $117 million in last year’s fourth quarter. Interest expense was $49 million, an increase of about $12 million from last year due to higher average borrowing costs tied to our accelerated capital return initiatives that we did last year. Operating cash flow was $406 million for the quarter, an increase of $104 million, driven by higher earnings and disciplined working capital management. Turning now to the full-year results on the right side of the slide. Sales for 2025 were $7,500 million, down $234 million from 2024. As we noted earlier, this reflects weakening demand across both light vehicle and commercial vehicle sectors, partially offset by customer recoveries. Full-year adjusted EBITDA was $610 million, an improvement of $215 million from the prior year, resulting in an 8.1% margin, up 300 basis points. The year-over-year improvement was driven by accelerated cost savings, higher production efficiency, and improved execution across the entire Dana Incorporated organization. EBIT from continuing operations was $138 million compared with a loss of $176 million last year. Interest expense was $171 million, up $26 million from last year. Note that we closed the Off-Highway divestiture on January 1 and began our delevering program in 2026, so this is not yet reflected in our 2025 results. Finally, operating cash flow was $512 million, a $62 million increase compared with last year, supported by improved earnings and continued working capital discipline. Overall, 2025 delivered meaningful margin expansion and stronger free cash flow generation despite a challenging demand environment, underscoring the effectiveness of our cost action programs and operational execution. Please turn with me now to slide 10 for the drivers of the sales and profit change for 2025. As a reminder, results are presented excluding the Off-Highway business, which is classified as discontinued operations. The removal of $561 million in sales and $102 million of profit from 2024 provides a comparable baseline for our continuing operations. Starting with sales, our fourth-quarter 2024 continuing operations for the quarter were $1,774 million. Year-over-year volume and mix increased sales modestly by $2 million, with light vehicle growth largely offset by weaker demand in certain commercial vehicle markets. Performance action contributed an additional $17 million, driven by commercial recoveries and pricing initiatives implemented earlier in the year. Tariff recoveries were $27 million, and currency translation added $31 million, largely due to the benefit of the euro against the U.S. dollar. Commodities provided a further $16 million benefit for the quarter. Altogether, these items resulted in Q4 2025 sales of $1,867 million. Moving to adjusted EBITDA, starting from $84 million in 2024, representing a 4.7% margin, volume and mix contributed $33 million of incremental profit in the quarter. This was driven primarily by a richer mix in Light Vehicle Systems. Performance added $6 million, reflecting pricing and commercial actions mostly offset by higher conversion costs. Cost savings contributed $74 million. Tariffs provided an $8 million benefit, while currency added $3 million. Commodity impacts were neutral year over year. Bringing these together, adjusted EBITDA for our continuing operations was $208 million, representing an 11.1% margin, a significant expansion from last year. This improvement reflects strong performance execution and the structural benefits realized from our cost action programs. Next, I will turn to slide 11 for the drivers of sales and profit change for the full year 2025. This slide shows full-year sales and profit changes for 2025 on the same basis as the previous quarterly slide. Starting with sales, our 2024 continuing operations baseline is $7,734 million. For 2025, year-over-year volume and mix reduced sales by $464 million, primarily due to lower demand across both our end markets, with commercial vehicle and light vehicle largely equal contributors to the lower sales. Performance, which includes pricing and commercial action, adds $81 million of sales. Tariff recoveries were $102 million, representing the majority of our tariffs for the year. Currency translation provided a $28 million benefit, largely driven by strengthening euro against the U.S. dollar. Commodities added an additional $19 million, supported by market stability in our structured recovery mechanisms with our customers. Taken together, these drivers result in 2025 sales of $7,500 million for our continuing operations. Moving to adjusted EBITDA, starting from $395 million in 2024 and a 5.1% margin, volume and mix reduces profit by $112 million, consistent with the reduced sales level and some unfavorable mix early in the year. Performance action added $90 million, reflecting both pricing and ongoing efficiency improvements across our manufacturing footprint. Cost savings remain a meaningful contributor, adding $248 million in 2025. These benefits more than offset the margin pressure created by lower volumes and continue to demonstrate the momentum behind our cost-saving programs as we enter 2026. Tariffs represented a $14 million headwind due to timing of recoveries. Together, adjusted EBITDA for our continuing operations was $610 million, representing an 8.1% margin, a 300 basis points improvement over last year. This improvement is driven primarily by operational efficiencies and our accelerated cost action program, which more than offset both the volume declines and the modest tariff impacts for the year. Next, I will turn to slide 12 for the detail of our full-year cash flows. Accounting for cash flow includes both continued and discontinued operations to align with the transaction structure. For 2025, we delivered adjusted free cash flow of $331 million, which represents a $250 million improvement over 2024. This significant step up reflects higher profitability, disciplined working capital management, and a meaningful reduction in capital spending. Starting at the top of the walk, adjusted EBITDA from continuing operations drove $215 million of improvement, stemming from stronger operational performance and structural cost actions executed over the past two years. This was partially offset by lower profit of $86 million from discontinued operations. One-time costs, largely related to restructuring and ongoing strategic initiatives, were $30 million higher year over year. Net interest expense increased by $16 million, driven primarily by higher borrowing costs associated with funding our capital return initiatives ahead of the planned deleveraging in early 2026. Taxes were a modest headwind of $3 million, with no material changes to our underlying tax structure. Working capital and other items contributed $57 million of improvement, reflecting disciplined inventory management and favorable timing across payables and receivables. Finally, capital spending decreased $113 million, supported by lower program launch requirements as significant investments made over the last several years begin to taper. Please turn with me now to slide 13 for an update on our full-year guidance. As we look ahead to this year, our outlook remains unchanged from our January call, with continued operational execution, accretive new business, and ongoing benefit of our cost reduction initiatives. Overall, we expect results to be broadly consistent with 2025 on the top line, with meaningful profit expansion driven by improved mix and sustained cost management. Starting with sales, we expect 2026 revenue to be approximately $7,500 million, consistent with this year. Increased backlog and the benefit of higher-margin new business are expected to largely offset a modestly softer market environment and changes in product mix. Adjusted EBITDA is expected to be around $800 million, an increase of roughly $200 million compared with 2025. This improvement is driven by the full-year run rate of our cost savings program, continued operational improvements, and incremental margin from business that carries higher profitability. At the midpoint of the range, this represents an adjusted EBITDA margin of roughly 10% to 11%, an expansion of approximately 250 basis points year over year. We are reinstating our diluted adjusted EPS guidance for 2026. We expect diluted adjusted EPS this year to be $2.50 a share at the midpoint of the range. For this calculation, we are using a share count of about 109 million shares and are not including future share repurchases in this target estimate. Adjustments for EPS are similar in nature to those made for adjusted EBITDA. Adjusted free cash flow is expected to be around $300 million, in line with our 2025 performance. Adjusted free cash flow stability reflects disciplined working capital management, improved earnings, and the normalization of capital spending as major investments over the past years begin to taper. Our 2026 outlook demonstrates continued profit improvement driven by new business, operational efficiencies, and the structural benefit of cost actions, all while maintaining a consistent cash flow profile, positioning us well as we launch New Dana. Please turn with me now to slide 14 for the drivers of sales and profit for our full-year guidance. Beginning with sales, volume and mix are expected to reduce revenue by approximately $95 million as lower demand in traditional commercial vehicle markets, as well as ongoing softness in electric-vehicle light-vehicle platforms, impacts our battery and electronics cooling business. Performance is expected to be modestly lower, reducing sales by about $30 million, reflecting a more normalized pricing environment as we lap last year’s commercial actions. Tariffs are expected to improve sales by roughly $50 million, largely due to the timing of recoveries and the impact of a full year’s worth of the tariff environment. Foreign currency translation adds approximately $60 million, primarily driven by the strengthening euro compared to the U.S. dollar. Commodities are expected to add about $15 million in sales due to the continuing effectiveness of our recovery mechanisms, with which we recover approximately 75% of our commodity price changes. Together, these drivers result in 2026 sales of approximately $7,500 million, in line with 2025 levels. Let’s turn now to adjusted EBITDA. Starting from the $610 million we generated in 2025, representing an 8.1% margin, volume and mix is expected to add approximately $20 million. Favorable mix will drive higher profit on slightly lower sales. Performance is expected to increase EBITDA by roughly $100 million, largely from continued operational efficiency. Please note that we are expecting to eliminate about $40 million of post–divestiture stranded costs, which is included in the performance line of our walk. Cost savings, in addition to the stranded cost reduction, will be a meaningful contributor, adding $65 million of profit for the year. Tariffs are expected to be a $10 million tailwind due to the timing of recoveries. Commodity cost recovery is expected to represent a $15 million headwind, driven by timing of recoveries and expected material cost changes. All combined, adjusted EBITDA for 2026 is expected to be approximately $800 million at the midpoint of our range, or a 10.6% margin, representing an improvement of roughly 250 basis points over 2025. This step change in profitability is driven by our ongoing performance improvements and cost savings initiatives. Next, I will turn to slide 15 for details of the adjusted free cash flow outlook for 2026. You will note on this slide that 2025 includes profit and free cash flow from discontinued operations that will not be included in 2026. Even without the discontinued operations contribution, we expect full-year 2026 adjusted free cash flow
Timothy R. Kraus: to be about $300 million at the midpoint of the guidance range. One-time costs will be about $30 million lower than last year, due to lower expected levels of restructuring as our cost-saving programs wind down. Net interest would be about $70 million in 2026, about $95 million lower than last year due to our aggressive debt reduction that we executed earlier this year. Taxes will be about $100 million, about $75 million lower than 2025, due to lower taxable income and jurisdictional distribution of profits for New Dana. Working capital will be a source of about $25 million in 2026, a $40 million improvement over last year. Finally, net capital spending is expected to be about $325 million this year, about $70 million higher than last year as we invest in efficiency improvements at our operations and support the new business backlog. Please turn to slide 16 for a review of our balance sheet and debt reduction actions that we executed earlier this year.
Craig Barber: As a reminder,
Timothy R. Kraus: the Off-Highway divestiture closed on January 1, and we will be reporting at year end without the benefit of the sale and subsequent deleveraging. I thought it would be helpful to show our balance sheet post divestiture and after the debt reduction. If you look on the left side of the page, we ended January 2026 with $659 million of cash and a total liquidity of about $1.8 billion, including the revolver capacity of just over $1.1 billion. As we progress through the year, we expect our average cash balance to be approximately $400 million, consistent with our operating needs and lower liquidity requirements. We are continuing to evaluate opportunities to optimize the balance sheet, including rightsizing of our revolver capacity and the examination of our real estate lease portfolio, while we also pursue additional divestitures of noncore operations where appropriate. We also continue to receive positive response from our delevering actions from the rating agencies, with upgrades from both Fitch and Standard & Poor’s. This reflects the strength of our improved balance sheet and expanded margin and free cash flow profile. Now turning to the right side of the page, you can see the impact of the meaningful deleveraging associated with the Off-Highway sale. Relative to our starting position, we have reduced total debt by approximately $1.9 billion, highlighted by the red boxes shown across the maturity ladder. This leaves us in an extremely strong capital structure position. Importantly, we now have no near-term maturities. Our first maturity is in 2029 at just over $200 million. The remaining debt on our balance sheet carries an average interest rate of around 6%, providing both predictability and flexibility as we continue to strengthen the business. On the bottom right side, you can see that the deleveraging results in less than one-times net leverage through 2026. This enhanced financial strength positions us well to navigate a dynamic market environment while we continue to invest in growth and deliver value for our shareholders.
Operator: Overall,
Timothy R. Kraus: our balance sheet is now significantly stronger with ample liquidity, reduced debt, and a long-dated maturity profile that supports our strategic priorities moving forward. I will now turn the call over to Byron for a sneak peek at our targets for Dana 2030 on page 17.
Byron Foster: Okay. Great. Thank you, Tim. And
Craig Barber: hey, before I get into the
Timothy R. Kraus: targets here, I do want to take the opportunity to thank Bruce for his leadership through Dana Incorporated’s
Craig Barber: transformation over the last year and a half or so.
Timothy R. Kraus: As he mentioned, we will have a very seamless transition
Craig Barber: here through the ’26.
Timothy R. Kraus: Myself and the management team, we could not be more excited for the opportunities ahead for Dana Incorporated. Let’s take a look at our long-term targets and our plans to continue to drive performance of the company to new levels. If you look at the 2030 financial targets, starting with revenue, we are targeting close to $10 billion of sales, which would be 33% higher than the midpoint of the 2026 guide that Tim just took us through.
Timothy R. Kraus: We expect margins
Craig Barber: to increase by close to 400 basis points to 14% to 15% at the EBITDA line.
Timothy R. Kraus: And adjusted free cash flow at 6%, which would be about a 200 basis point improvement from our 2026 guide.
Craig Barber: In terms of returning capital to our shareholders, you can see that
Timothy R. Kraus: we plan to return $2 billion via stock buybacks,
Craig Barber: of which $650 million has been completed in 2025, with the remaining planned for 2026 through 2030, and specifically in 2026, we are targeting $300 million of buybacks. That is on top of the 20% dividend increase that was previously announced. In terms of our roadmap of how we plan to deliver that level of performance, it is under our strategy called Dana 2030. You can see the five pillars of that plan: three related to growth in our aftermarket business,
Timothy R. Kraus: our traditional light vehicle and commercial vehicle business,
Craig Barber: as well as our EV and applied technologies,
Timothy R. Kraus: which basically takes
Craig Barber: Dana Incorporated’s know-how and technology and explores opportunities for growth in new and adjacent markets.
Timothy R. Kraus: In addition to those growth pillars,
Craig Barber: there are two pillars around efficiency and execution in everything we do,
Timothy R. Kraus: both at the manufacturing level as well as our structural cost and support of the business. We look forward to sharing more
Craig Barber: of our 2030 plan
Timothy R. Kraus: with you
Craig Barber: during our Capital Markets Day, which is planned for March 25 in New York at 9 a.m., and we are hoping to see you all there so we can talk more about the future ahead for Dana Incorporated. With that, I will hand it back to Regina for Q&A. Thank you.
Operator: We will now begin the question-and-answer session. Please press star then the number one on your telephone keypad. We kindly ask that you please limit yourself to one question at a time. Our first question comes from the line of Colin Langan with Wells Fargo. Please go ahead.
Colin M. Langan: Great. Thanks for taking my question.
Craig Barber: I just want to follow up on the target for sales of $10 billion by 2030. That is faster than we have seen growth historically from Dana Incorporated. Particularly, you just gave a backlog. I think there is $550 million from 2027–2028 coming. So where is the other almost $2 billion? Is that market factors? Is there M&A assumed in there? I should have something about that. I will take that. I will take that, Colin. So here is
Bruce McDonald: kind of the way you should think about it. Of the $2.5 billion that we are committing to grow over the next five years, our backlog, as you said, for 2027–2028 is $550 million. We anticipate that a normalization in the North America CV market is worth another $2.3 billion. So that is kind of a third of it. Then we have five growth strategies. One is the slide that Byron covered off around our quoting activity, really around ICE is going to be here for longer. Our customers are changing their product plans to reflect more SUVs and CUVs. We do expect to continue to win new business on new programs that our customers are introducing. Secondly, in CV,
Operator: we
Bruce McDonald: are very North American-centric. We have a very strong position in the market right now. We have a brand-new world low-cost manufacturing facility, greenfield site that we opened up in Mexico. That plant is performing for us at a very high level, and as a result of our delivery performance, our quality, and our cost base, I think we are well positioned to gain share of wallet at our main North American customers. Third, aftermarket. It is an area that we have not really focused on in the past. We have several growth strategies within aftermarket, but the one I would point to as being front and center here is our North America sealing and gasket opportunity. This is a market where we have 30%–35% share in Europe, and we are just looking to enter North America. We see that as being a $250 million opportunity that we are just starting to get our foot in the door this year. Lot four, I would point to EV. We have adopted more rigid and commercially sensible quoting disciplines, and there are still opportunities there, particularly as we are seeing on the range-extended products from our customers. Lastly, Byron touched on applied technologies where we are looking to get into adjacent markets or areas that we have historically underinvested. We have four or five of those opportunities, but a couple of examples: powersport, the off-roading quad vehicles. Those vehicles are becoming larger and larger. The supply chain in terms of our products for those is largely Chinese and old technology. We think we have a big opportunity to enter that market. We have several hundred million dollars of RFQs as we have put some resources into that business. That is a good example of an adjacent opportunity. If I thought about something that I will say we have kind of neglected, I would point to
Craig Barber: defense.
Bruce McDonald: We have a very highly profitable business; we just have not put sales and technical resources into capturing growth in that market. Those applied technologies, as a bucket, we think are another $400 million–$500 million. That is the path to the $2.5 billion. Kind of a long answer. I apologize for that.
Colin M. Langan: No. I appreciate all the color.
Craig Barber: And just as a second question, any help from that we have seen
Timothy R. Kraus: all pretty much all the Detroit Three have these big recovery programs for EV cancellations.
Craig Barber: Was any of that helping 2025? Is any of that baked into the guidance? Any help actually in cash flow as well?
Timothy R. Kraus: Hey, Colin. This is Tim. As we mentioned in Q3, we took some charges due to some of this. We did get a little bit of recovery in the fourth quarter. In terms of the recoveries, a lot of what we are seeing is really adjustments to ongoing sales prices because many of our programs have not completely canceled. Many of them are just volume down. In terms of the other recoveries, it is really a net coverage of the costs that we have incurred and what we owe in terms of suppliers and other development costs. It is largely not a big tailwind in terms of profit drivers for us in the short term, but it obviously avoids our necessity to continue to write amounts off like we had to do in the third quarter.
Colin M. Langan: Got it. Alright. Thanks for taking my question.
Bruce McDonald: Yep. I would just add, if you look at the volume/mix slide and how it is a little bit strange that top line is negative and bottom line is positive, some of the benefit of repricing EV programs is within that bar.
Craig Barber: Got it. Okay. Thank you. That is helpful color.
Operator: Our next question will come from the line of Tom Narayan with RBC Capital Markets.
Bruce McDonald: Hi. This is
Craig Barber: Tom Acito on for Tom. Thanks for taking the question. You are guiding to 14% to 15% EBITDA margins by 2030, which is about 400 basis points higher than your 2026 guide. This might have to wait for the Capital Markets Day, but can you give us any rough breakdown of the contributions you are expecting from those items listed to the right of slide 17?
Robert Aaron Saltzman: No. We do not really want to get into a lot of
Bruce McDonald: detail. What I would tell you is, if you think about margin enhancement, how do we get that 400 basis points, it is in two places. One, structural cost reduction. We cut $325 million out of our cost base this year. If we look at the opportunities that we have that are longer term,
Timothy R. Kraus: or require
Bruce McDonald: systems investments, we think there is $100 million there. A couple of examples of that would be expanding our shared service center and a lot of ERP and other system standardization. I think the thing we encourage you to do is come see us in New York. We are going to lay out the walk and how we get there and why we are so confident. Come to the Capital Markets Day. We will lay it all out for you, but we are highly, highly confident. What you have seen from Bruce and the management team here over the last 14–15 months is we are very bullish on what we can deliver and what we tell you we are going to deliver, we do. We have that same confidence as we start looking forward to the strategy to deliver the $10 billion and the 15% to 16% margins in 2030. So encourage you to come down and we will take you all through it in March.
Craig Barber: Okay. Got it. Thank you. As a quick follow-up, it looks like your
Bruce McDonald: commercial vehicle margins expanded pretty significantly in Q4, even though sales are down year over year.
Craig Barber: It sounds like this is mostly a mix and a cost reduction story, but I was wondering if you think that margin level is sustainable going into 2026, or
Dan Meir Levy: whether there were any one-offs in the Q4 results?
Timothy R. Kraus: Not a lot of one-offs. This has been a part of the business over the last few years that we have focused on improving our operating efficiency, and you are starting to see some of that. Bruce mentioned we built a new, state-of-the-art plant over the last years, and as we continue to ramp that plant up and have more production in there, we are getting the benefits of that in the efficiency and the margins in that product. We are not done yet. We think we have more opportunity to continue to improve margins in the CV business because they are not where we think they should be. Stay tuned. There is more good to come in our CV segment.
Bruce McDonald: I would just add that the team in CV has done a great job this year. Great job. But we have been fighting volumes falling against us all year long. As we get into this year, we are going to start to see that flip around and have volume as a tailwind instead of chasing the year-over-year declines.
Dan Meir Levy: Okay. Great. Thank you.
Operator: Our next question comes from the line of Edison Yu with Deutsche Bank. Please go ahead.
Dan Meir Levy: Good morning. This is James Mulholland on for Edison. A quick question on our part. If we do a bit of math, even with the share buyback and increased dividend that you have outlined with your longer-term free cash flow guide, it looks like you are looking at a materially higher cash position than what you have historically maintained or even guided to. Do you have any thoughts on where you are going to put that to work? Would you consider further inorganic investments, shareholder returns? Any thoughts you might have there?
Timothy R. Kraus: I think we have laid out a significant increase in the amount of capital that we would return to shareholders. As we move out—and we will talk a bit about this in March—as we move out beyond 2026 and think about our growth strategy, there could be opportunities for acquisitions or other investments that are inorganic in order to fill in parts of the portfolio that can help accelerate growth. We are really focused right now on continuing to execute on the plan. We do think that the business we own and the management team we have will continue to drive the business forward and deliver superior returns for the shareholder.
Dan Meir Levy: Got it. That is helpful. On the flip side of my prior question, in the presentation it sounds like you are thinking about other noncore operations that could either be sold or perhaps shuttered. Are there other parts of your business that can be as cleanly separated as the Off-Highway business? Is there something specifically you are thinking about that you can share with us now?
Timothy R. Kraus: Nothing we can share now. We are talking about some smaller things. We have a number of different smaller businesses, but nothing on the scale or size of Off-Highway. To answer your question, yes, we believe that those are imminently separable. We did a few of them last year where we sold a couple of interests we had in some joint ventures. We will continue to look at the portfolio, whether that be individual JVs, plants, or just product lines in some of the businesses. As we continue to think through the portfolio, there are a number of opportunities where maybe we are not the best owner or they are not the most profitable product lines or part numbers, and we will continue to cull through that and make those adjustments. We think there are opportunities on the portfolio side. Again, these are smaller-type things.
Dan Meir Levy: Great. Thank you, guys.
Operator: Our next question comes from the line of James Picariello with BNP Paribas. Please go ahead.
Craig Barber: Hey. Sorry. Just to clarify, what was the last answer regarding—is there a possibility for M&A within this revenue target, or would that be in excess of the $10 billion target? There is no M&A in the $10 billion.
Dan Meir Levy: Alright. That is what I thought. When I think about the capital deployment up to 2030, if there is no M&A embedded in the target, which I think is a great thing, free cash flow
Craig Barber: is slated to double.
Dan Meir Levy: Over 2026 to 2030, if I assume a linear annualized step up off the $300 million this year to the $600 million targeted for 2030, that cumulative free cash flow generation looks like $2.2 to $2.3 billion in that zip code. We are looking at $250 million in dividends—$50 million a year over five years—and you have $1.35 billion in buybacks, which leaves about
Dan Meir Levy: $650 million left over
Craig Barber: in excess capital. How are you thinking about that? Where do you disagree or agree on how I laid that out, and what are we doing with that additional
Dan Meir Levy: $650 million or so?
Timothy R. Kraus: We will not get into specifics. It leaves us some flexibility in what we use the cash flow for. We have maturities coming due. We can use it to reduce leverage on the business if we want, and depending on where we are in the cycle, that may be something we do. Otherwise, we have more opportunities to return capital to shareholders if that seems to be the best use of that capital. Two, three, four, five years from now is a long time and a lot of things can happen. We are planning for an exceedingly strong operating performance through the business cycle with a capital structure that allows us to continue to be exceedingly nimble in our ability to continue to invest in the business regardless of where the markets are. That is really important to think about given where we were and the high two turns leverage. Look at what we are going to be able to do through the business cycle regardless of where the end markets are going forward. We are leaving ourselves some flexibility. We have said we are going to continue to drive really high shareholder returns, and that is our intention.
Craig Barber: Okay. That makes a lot of sense. My follow-up is a quick one. What is the assumed effective tax rate for this year to inform the adjusted EPS range of $2 to $3? It is somewhere—it is
Timothy R. Kraus: we have had some pretty strange ones. It is somewhere between 20%–30%. It really depends on the jurisdictional mix, but that is where we are targeting. That is a wide range, but given the balances that we have and how the income mix can change, it happens to be a pretty reasonable rate this year based on the jurisdictional mix and where the valuation allowance balances are.
Robert Aaron Saltzman: Understood. Thank you.
Operator: Our next question comes from the line of Joseph Spak with UBS. Please go ahead.
Dan Meir Levy: Thanks. Good morning, everyone. Hey, Joe.
Timothy R. Kraus: Maybe just a question on
Craig Barber: CapEx, with two flavors of fuel. It looks like you were in the low $300 million in 2025. Guidance calls for low $400 million this year. I am assuming that is a step up to support some of these growth initiatives, but maybe you could add some color there. How should we think—I know you gave the free cash flow margin target for the 2030 plan, but
Timothy R. Kraus: should we think about any material change in CapEx to sales
Craig Barber: to support that growth opportunity? Is 4% the new go-forward rate we should be thinking about?
Timothy R. Kraus: I think 4% is probably a good number to pencil in as you go forward. We will have to spend both on growth initiatives and on the initiatives to drive margin expansion. Bruce mentioned our plant-level operational efficiency. We have taken a lot of costs out at a relatively modest investment. The next step is we will have to have a higher level of investment, which is largely CapEx, to drive that next lockstep change in our margin profile, especially at the plant level. That is built into our targets, both the 2030 target and the target we have for CapEx in 2026. We have committed significant amounts of CapEx to help drive both growth and efficiencies in the business.
Bruce McDonald: Okay. Thank you. You alluded to this
Craig Barber: a little bit earlier, but I was wondering if you could
Timothy R. Kraus: get a little bit more color. You are guiding 250 basis points of margin expansion this year. It sounds like we should be maybe above that level in CV given some of your comments, so maybe slightly below that in light vehicle to get to the number. Can you help us understand some of the
Timothy R. Kraus: profit drivers or margin drivers by segment for 2026?
Timothy R. Kraus: I think you have it right. We will have continued flow-through on the cost savings, and we will continue to get performance improvements, which is fairly consistent on a relative basis in the segments. Probably a little bit more in CV because we have a little more opportunity there, but generally pretty balanced between the segments. The important thing to note is that we continue to focus on our ability to expand margins through actions that are completely within our control and that are low risk and have high returns. Think about some of the things we are doing with automation and efficiencies within the plants. Largely, those are in plants that are on ICE programs. We know what the volumes are going to be, and we know what the investment and the returns look like. We are highly confident in our ability to both make those investments and deliver the expanded margins that they will deliver. So
Dan Meir Levy: okay. Great. I should go along with this, but
Timothy R. Kraus: congrats to both Byron and Bruce, and looking forward to learning more at the upcoming investor event. Thanks, everyone.
Bruce McDonald: We plan to put Byron out there so you can go right after him in March. Okay?
Dan Meir Levy: Look forward to it.
Byron Foster: Yeah. Thank you.
Timothy R. Kraus: Thank you.
Operator: Our final question comes from the line of Emmanuel Rosner with Wolfe Research. Please go ahead.
Dan Meir Levy: Great. Thank you so much.
Emmanuel Rosner: First question is on the—I appreciate the sneak peek on the 2030 financial targets. I wanted to ask you about the high-level drivers of the 400 bps in margin expansion. How much of it is growth driven versus cost savings? I think, Bruce, you mentioned maybe a $100 million opportunity from the systems enhancement. Is there anything else you would call out on the cost side? What implication does it have in terms of potential cadence? Four hundred bps obviously averages to about 100 bps a year, but I would assume that the cost savings are maybe more front-end loaded, whereas some of the growth initiatives may take a little bit longer. Anything you could share on that?
Timothy R. Kraus: Come see us in March, I think, is the line of the day. Some of what you said makes sense. Given where we are today, we are going to be able to invest in both the growth and the margin expansion initiatives and deliver them over time. We will lay it out in detail in a few weeks. Come down and see us.
Bruce McDonald: I would say that getting to the 15% is not because we are relying on growth. We will expand our margin based on investments that we are making and cost actions. The growth will help out, but the main driver is the investment we are making in our manufacturing operations and automation.
Timothy R. Kraus: I would not say the growth is coming through at a super high rate. We still operate in the mobility business, for goodness’ sake. A lot of what we are thinking about is things that are completely within our control and tied to programs that are tried and true. High-return, low-risk type things to drive margin improvement.
Emmanuel Rosner: I appreciate the color. If I could just follow up based on what you disclosed in today’s slides. Revenue target of $10 billion, up from $7.5 billion this year. What is the right incremental margin on that kind of revenue increase? If you just apply that to $2.5 billion of revenue, you would already have probably $500 million of uplift in EBITDA. How do you think about that piece based on the numbers that you already shared with us?
Timothy R. Kraus: You also have to realize there are costs associated with some of that growth. It is not like we just go out and sell it and put it in the same plant. It is not that simple. Again, we will
Craig Barber: give you a front-row seat,
Timothy R. Kraus: Emmanuel, in March, and we will take you through it and answer all your questions.
Emmanuel Rosner: I look forward to that. On 2026, on slide 14, the walk to the 2026 EBITDA by factor. Can you remind us what goes inside the performance and the cost savings bucket?
Timothy R. Kraus: Think of cost savings as our $325 million that is all above the plants. That is what is in that number, and that is the last piece of that $325 million. If you think about performance, that is all the improvements that are going on at the plant level. This is material cost savings, engineering cost savings that is coming through as a result of design and updates, conversion cost savings, and we have also included about $40 million of the stranded cost avoidance that we are taking out this year. That is one of the reasons why that number looks pretty large. Forty million dollars is related to the structural cost takeout related to stranded costs from the deal.
Robert Aaron Saltzman: Understood.
Emmanuel Rosner: Alright. Thank you.
Robert Aaron Saltzman: Yep.
Bruce McDonald: Okay. That is the last of the questions. Thanks, everybody, for joining us this morning. I want to have a big shout out to the Dana Incorporated team. I know a lot of them are listening in on the call. An incredible 2025, and I thank each and every one of our team members for helping make this happen. Coming into 2025, we made some very bold commitments, and the teams delivered on all fronts. I am very proud of them. Looking ahead, the team is laser-focused on performance and delivering on our financial commitments.
Dan Meir Levy: You know, as I said earlier,
Bruce McDonald: right now, Dana Incorporated is exceptionally well positioned. We have a strong balance sheet—I would say best-in-sector balance sheet. We have a strong top-line growth story. We have a very clear plan and actions to deliver significant margin expansion. Our free cash flow is accelerating to the point where we can first grow our investment in our business, second, return a significant amount of capital to our shareholders via dividends, and third, grow our buyback. Right now, we can comfortably buy 8% to 9% of our shares per year, all while deleveraging. I love how Dana Incorporated is positioned right now in the auto space. I would not change places with anybody else. Thanks for joining us this morning.
Operator: This will conclude our call today. Thank you all for joining. You may now disconnect.